Operator: Good day, ladies and gentlemen, and welcome to the Nordson Corporation Webcast for First Quarter Fiscal Year 2017 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. As a reminder, this conference call is being recorded. I would now like to turn the conference over to Senior Director, Jim Jaye. You may begin.
James R. Jaye: Thank you, Leanne. This is Jim Jaye, Senior Director of Investor Relations and Communications for Nordson. I'm here with Mike Hilton, our President and CEO; Greg Thaxton, our Senior Vice President and CFO; and Jeff Pembroke, Corporate Vice President within our Advanced Technology segment . We welcome you to our conference call today, Tuesday, February 21, 2017, to report Nordson's FY 2017 first quarter results and our FY 2017 second quarter outlook. Our conference call is being broadcast live on our webpage at Nordson.com /investors and will be available there for 14 days. There will be a telephone replay of our conference call available until February 28, 2017, which can be accessed by calling 404-537-3406. You will need to reference ID number 64914948. During this conference call, forward-looking statements may be made regarding our future performance based on Nordson's current expectation. These statements may involve a number of risks, uncertainties, and other factors as discussed in the company's filings with the Securities and Exchange Commission that could cause actual results to differ. After our remarks on the quarter, we'll provide some comments on our most recent acquisition, as well as on yesterday's announcement on our agreement to acquire Vention Medical's Advanced Technologies business. We'll then be happy to take your questions. So, with that, I'll turn the call over to Mike.
Michael F. Hilton: Thank you, Jim. Good morning, everyone. Our global team delivered very solid performance this quarter. We generated organic growth of 10% compared to the prior year, with all three segments contributing to the growth. This marks the 11th time in the last 12 quarters that Nordson has delivered organic growth compared to the prior year. Diverse end markets, innovative products, new applications, and the best customer experience are continuing to drive our success. We leveraged the increased volume to drive significant improvement in operating margin and earnings per share compared to the first quarter a year ago. Our ongoing continuous improvement efforts are aiding our results as well. We also continue to generate strong levels of free cash, and we executed on our capital deployment strategy, where we distributed approximately $15 million in dividends and completed one acquisition during the first quarter. Two other acquisitions closed during the first few weeks of this quarter. And, as Jim noted, we are very happy to announce an agreement to acquire Vention Medical's Advanced Technology (sic) [Technologies] business. This transaction gives us real scale among many other benefits in one of their fastest growing and highest performing product line. We'll provide some additional detail on Vention and the other recent transactions later in the call. All four of these deals are aligned with our strategy and should provide excellent opportunities for profitable growth. Looking ahead to our second quarter, we're forecasting solid organic growth at the midpoint of our outlook. This outlook is based on current backlog, order rates, project activity, and in comparison to a very robust quarter of organic growth a year ago. I'll speak more about our outlook, current business trends and our recent acquisitions in a few moments. But first, I'll turn the call over to Greg to provide more detailed commentary on our current results, and our second quarter guidance.
Gregory A. Thaxton: Thank you, Mike, and good morning to everyone. Regarding first quarter results, sales were $407 million, an increase of 10% over the prior year's first quarter. This change in sales included a 10% increase in organic volume, a 1% increase related to the first year effect of acquisitions, and a 1% decrease related to the unfavorable effects of currency translation compared to the prior year's first quarter. Looking at sales performance for the quarter by segment, within the Adhesive Dispensing segment, organic sales volume increased 3% as compared to the prior year first quarter, offset by 1% negative impact related to currency translation. This is solid growth against a challenging comparison of the prior year first quarter, where organic growth was 11% in this segment. Our product assembly and rigid packaging product lines drove the growth in the current quarter. On a geographic basis, Asia Pacific, the Americas and Japan were strongest. Sales volume in the Advanced Technology segment increased 25% over the prior year first quarter, inclusive of a 23% increase in organic volume, and a 2% increase related to the first year effect of the LinkTech and ACE acquisitions. The growth was offset by 2% negative impact related to currency translation. All product lines and geographies in the segment delivered excellent organic growth, most by double digits, with performance aided in part by comparison to a softer first quarter in some end markets a year-ago. Organic sales volume in the Industrial Coating segment increased 8%, compared to the first quarter year-ago, offset by a 2% negative impact related to currency translation. Growth was strong in nearly all regions and was led by demand for our cold material dispensing, powder coating and UV curing product lines. Gross margin for the total company in the first quarter was 55%, a 2 percentage point improvement compared to the prior year first quarter, driven by volume leverage and favorable mix. Operating profit in the quarter was $76 million and operating margin was 19%, a 5 percentage point improvement over the first quarter a year ago. Incremental operating margin on the increased volume was 68%. Within the Adhesive Dispensing segment, reported operating margin was 26% in the first quarter, an improvement of 1 percentage point compared to the same period a year ago. Within the Advanced Technology segment, reported operating margin was 18% in the first quarter, an increase of 11 percentage points over the same period a year ago, and within the Industrial Coating segment, reported operating margin was 13% in the first quarter, an improvement of 5 percentage points over the same period a year ago. This strong performance overall given the seasonally lower first quarter volume that is typical for all three of our segments, volume leverage, favorable mix and continuous improvement initiatives enabled all three segments to deliver operating margin improvement. For the company, net income for the quarter was $50 million. GAAP diluted earnings per share were $0.86, 19% higher than last year's first quarter. We've included an earnings per share reconciliation schedule in our press release to reconcile between GAAP earnings and normalized earnings per share. On a normalized basis, EPS in the current quarter represents a 41% increase over the prior year normalized EPS. First quarter's EBITDA was $94 million and cash flow from operations was $78 million. Free cash flow before dividends was $71 million, reflecting cash conversion of 143% of net income. We've included a table with our press release reconciling net income to free cash flow before dividends. In terms of capital allocation priorities, as Mike mentioned, we continued our balanced approach, distributing approximately $15 million in dividends to shareholders during the quarter, and we've been active on the acquisition front. At the end of the first quarter, our net debt-to-EBITDA was 1.8 times trailing 12-month EBITDA, down from 2 times at the end of fiscal 2016, and 2.8 times at the end of fiscal 2015. I'll now move onto comments regarding our outlook for the second quarter of FY 2017. As we typically do, we provided our most recent order data, both on a segment and geographic basis with our press release. These orders are for the latest 12 weeks as compared to the 12 weeks of the prior-year on a currency-neutral basis and with acquisitions that closed prior to the end of the first quarter of 2017, included in both years. For the 12 weeks ending February 12, 2017, order rates are up 7% as compared to the same 12 weeks in the prior year. Within the Adhesive Dispensing segment, the latest 12-week orders are down 1% as compared to the same period in the prior year. Positive order rates in packaging and product assembly were offset by softness in other product lines. Geographically, positive orders in the Americas were offset by flat to slightly down rates in other regions. Timing of larger dollar system orders can have an effect on order rates, and for most of this latest 12-week period, order rates in the Adhesive segment have been up mid-to-high single-digits over the same period a year ago. In the Advanced Technology segment, order rates for the latest 12 weeks are up 15% as compared to the prior year. These order rates reflect strong demand for automated and semi-automated dispensing systems, test and inspection systems and surface treatment systems for electronics end markets. Order rates were up in all geographies. Within the Industrial Coating segment, the latest 12-week order rates are up 14%, nearly all product lines and geographies were positive. Backlog at January 31, 2017 was approximately $308 million, an increase of 24% compared to the prior year and inclusive of 23% organic growth and 1% growth due to acquisitions. Backlog amounts are calculated at January 31, 2017 exchange rates, and include acquisitions that closed prior to the end of the first quarter of 2017. With this backdrop, we're forecasting sales to increase in the range of 3% to 7% as compared to the second quarter a year ago. The sales forecast does include acquisitions that have closed, but does not include the Vention AT acquisition which is not yet closed. This range is inclusive of an increase in organic volume growth of 3% to 7%, 2% growth from the first-year effective acquisitions and a negative currency impact of 2% based on current exchange rates. At the midpoint of our sales forecast, we expect second quarter gross margin to be approximately 56% and operating margin to be approximately 24%. We're estimating second quarter interest expense of about $6 million, and an effective tax rate of approximately 29%, resulting in second quarter forecasted GAAP diluted earnings per share in the range of $1.21 to $1.33 per share. In addition to the second quarter outlook, the following full-year updates may be helpful for modeling purposes. For our effective tax rate, we're forecasting the full-year rate to be about 29% based on current tax law and excluding discrete items. For capital spending in 2017, we're forecasting normal maintenance capital spending to be approximately $50 million.
Michael F. Hilton: Thank you, Greg. Again, I want to thank our team for delivering another strong quarter, where sales and EPS were first quarter records for Nordson. Our second quarter outlook is also very positive and we're forecasting good organic growth, against a very strong period a year ago. We'd now like to spend some time highlighting the three recent acquisitions we have closed since the first of the year, and the agreement we have entered into, to purchase the Advanced Technology business of Vention Medical. A slide deck providing additional detail on these transactions is available on our investor website at nordson.com. We're excited about all of these additions to the portfolio and the profitable growth opportunities we believe they bring. All four will become part of our Advanced Technology segment, further balancing the business around less cyclical end markets. On January 3, we closed on the purchase of the ACE Production Technology (sic) [Technologies. ACE is the U.S.-based manufacturer of selective soldering systems, used in a variety of automotive and industrial electronics assembly applications. ACE technology is highly complementary to Nordson's existing conformal coating and optical inspection solution, and their products are often sold to the same set of customers. On February 16, we announced the purchase of Interselect, a European-based provider of the same-type of technology as ACE. Together these two properties will give us a new platform for growth within the electronics manufacturing space and further diversify our product offering. Combined annual revenue of the two businesses is approximately $12 million, with EBITDA margins in the mid-teen. We expect future performance of these businesses will benefit from volume leverage and operational improvements from the Nordson Business System. Regarding our other recent transaction announcements on Plas-Pak and the Advanced Technology business of Vention Medical, let me turn the call over to Jeff Pembroke, Corporate Vice President within Nordson's Advanced Technology segment.
Jeffrey Alan Pembroke: Thank you, Mike. We're very pleased with the acquisition of Plas-Pak Industries, which we announced on February 1. Plas-Pak expands and diversifies Nordson's offering of single-use dispensing syringes, cartridges and related components. Plas-Pak's recurring revenue model, proprietary technology and low-dollar cost, high value-add selling proposition are complementary and consistent with our existing Nordson EFD product line. Plas-Pak strengthens Nordson EFD's position in select industrial end markets, while providing access to a rapidly growing animal health market and broader exposure to the DIY, pesticide and dental markets. The company has averaged high single-digit annual revenue growth over the last five years and had 2016 revenues of approximately $28 million and EBITDA margins slightly higher than Nordson's 2016 margin. We expect to leverage Nordson's global footprint to accelerate Plas-Pak's growth beyond its current strong presence in North America. And as announced in a press release yesterday, we've entered an agreement to acquire the Advanced Technologies business of Vention Medical, also known as Vention AT. This is a great acquisition for our customers, shareholders and employees. Vention AT is a premium quality highly complementary business that immediately adds significant scale and differentiation to our existing Nordson MEDICAL platform. It also establishes Nordson as a leading designer, developer and manufacturer of minimally invasive interventional delivery devices, balloons, catheters and advanced components for the global medical technology market. This transaction marks a major step forward in realizing our vision to become the premier solution provider of highly engineered, single-use components and delivery devices to leading medical device OEMs and emerging innovators around the world. Vention AT brings many complementary capabilities to our existing Nordson MEDICAL offering, such as complex extrusion, balloon and catheter manufacturing, nitinol forming and other specialty material expertise. They have one of the largest design and development teams in the industry, which provide full service solutions to customers from concept design and prototyping, quality and regulatory support to finish device assembly, supporting some of the most complex and innovative interventional and advanced surgical procedures performed in healthcare today. Vention AT also strengthens and expands our relationships with medical device OEM customers, where we will now be able to provide a broader array of solutions across a wider range of high-growth therapeutic areas, such as cardiovascular, electrophysiology, peripheral vascular, urology and neurovascular among others. Finally, the acquisition clearly aligns with the medical growth strategy we have previously articulated and follows the other successful acquisitions we have made since 2010 to build our current Nordson MEDICAL platform, including Value Plastics, Micromedics, LinkTech Quick Couplings and Avalon Catheters. We see Vention AT as an ideal complement to our current offering, which includes single-use fluid management components, biomaterial delivery devices and high-end cannula and tubing. We estimate the total addressable market for the combination of Nordson MEDICAL and Vention AT to be in excess of $4 billion and growing at a high single-digit low double-digit rate. We expect the Vention AT transaction to close by the end of our second quarter. We look forward to bringing our combined capabilities to the many leading medical device OEM customers we currently share and expanding our reach to new customers. With that, I'll now turn the call over to Greg to address additional financial aspects of these acquisitions.
Gregory A. Thaxton: Thank you, Jeff. As with the Plas-Pak acquisition, we expect Vention AT to enhance Nordson's top and bottom-line growth and be accretive to total company EBITDA margins. Vention AT sales for the 12 months ended January 31, 2017 were approximately $150 million with EBITDA of $48 million. $705 million purchase price represents an EBITDA multiple of 14.7 times, in line with similar multiples paid for other high quality properties in the medical space. Initial identified cost synergies are modest and in the range of approximately $5 million. Including these benefits, the purchase price represents a synergized EBITDA multiple of 13.3 times. Assuming a close on Vention AT during our second fiscal quarter, we expect $0.05 to $0.10 accretion to EPS in fiscal year 2017 from all four acquisitions, including estimated purchase accounting charges. Once we close and get further into our valuation work on purchase price allocation, we'll provide further updates on expected EPS accretion. The Vention AT deal will be funded with cash and debt. Our net debt to EBITDA is approximately 1.8 times at the end of the first quarter. Based on our guidance for the second quarter and including trailing 12 month EBITDA for these four acquisitions, our net debt to EBITDA is forecasted at approximately 3 times after close. As we have demonstrated historically, our consistent levels of cash flow allow us to delever quickly.
Michael F. Hilton: Thank you, Jeff and Greg. I want to welcome all the employees of ACE, Interselect and Plas-Pak and upon close Vention Medical AT to Nordson. We look forward to growing these great businesses in the months and years ahead. From an overall perspective, Nordson is firing on all cylinders right now. Thanks to the hard work of our team and the value we bring to our customers. We are executing on our growth strategy and the various initiatives we have to drive continuous improvement across the company. With that, we'll be happy to take your questions.
Operator: And our first question comes from Jeff Hammond with KeyBanc Capital. Your line is open.
Jeffrey Hammond: Hey, good morning, guys.
Michael F. Hilton: Good morning, Jeff.
Gregory A. Thaxton: Good morning.
Jeffrey Hammond: Hey, congratulation on this deal. Just can you walk through where you see the synergies, the $5 million and then just talk about where there is kind of the greatest customer overlap? And I think you mentioned kind of international opportunities. Just kind of touch on all those synergies. Thanks.
Michael F. Hilton: Yeah. I'll just make a couple of comments. The synergy level is relatively modest as this is sort of a fourth pillar to our platform from a medical device standpoint. Obviously there will be some we'd see from the leverage of our procurement capability and then maybe some other cost improvement opportunities. We haven't included any revenue synergies here, although we do think and we have shown in the past that we've been able to demonstrate incremental top-line revenue by cross-selling across our product lines with the relationships that we have with key OEMs. As far as the specifics on the customer side, this is a relatively concentrated group of OEM customers, and what this does for us is give us access to essentially all of the large OEM customers. But at the same time, this business has done a nice job with – through the emerging innovators and it gives us access to the broader part of our product line to some of these emerging innovators. So, that's an interesting opportunity. And then as you said, a lot of the big customers are global and can help translate this business more globally, so we feel pretty good about the position of the business.
Jeffrey Hammond: Okay. And then just a quick follow-up here on Advanced Tech, can you just give us an update on what you're seeing from a quoting activity, customer tone standpoint as you kind of enter this more seasonally strong, maybe just comment on what you're seeing from the Chinese OEMs automation wise, anything around major smartphone upgrades, that'd be helpful. Thanks.
Michael F. Hilton: Yeah. I would say, let's sort of split this up into a couple of buckets. On the electronics side of the business, we're clearly seeing our approach to diversification playing out here. So, yeah, we're seeing good interest from the local mobile guys in China, but we also have more applications that go to in the automobile, electronics space and some of these new additions that we've added give us an even bigger footprint there on that automotive electronics space. But we're also seeing good penetration because of our new products into that wafer related processing, both the deposition through ASYMTEK and the inspection part of the business as well. So kind of what the story we've seen over the last few quarters is continuing there. We do see a lot of interest at least in terms of project activity on the mobile side. Again, at this point in time, you never know which ones of those are really going to come forward. And then if you look at the other part of the business, in our fluid management business, we're seeing solid business in a lot of general industry applications, fluid formulators, as well as activity in the electronics-related space. And then on medical, we're seeing strong opportunities in our medical business, related to our new products and our broadening product line there. So pretty solid activity across the board. Now also, we're up against that point of time where we start to see the business pickup, orders pickup, so we do have as the year goes on, for comps in the business as well.
Jeffrey Hammond: Thanks, Mike.
Operator: And our next question comes from Liam Burke with Wunderlich. Your line is open.
Liam D. Burke: Thank you. Good morning, Mike. Good morning, Greg.
Michael F. Hilton: Good morning, Liam.
Gregory A. Thaxton: Good morning, Liam.
Liam D. Burke: Mike, could we go over to the adhesives and could you give us some color on how the polymer business has been doing?
Michael F. Hilton: Yeah. So on the adhesives side of the business, the parts of the business that supports sort of consumer-related products, food and beverage other consumer related products, like packaging are doing well, our product assembly business is strong. Nonwoven business is a little soft, but that's against a really strong comparison last year. As you look at our polymer area, our dies business has picked up as the extrusion business has started to improve. We are seeing a little softness in the injection molding area, as we see some of the things like the auto business maybe start to slow down from a growth perspective a little bit. But in our melt delivery and our pelletizing business we expect to see this be a solid year, although, maybe a little lumpy, because particularly the pelletizing piece tends to be very project-specific. So, I'd say the business is improving, not quite as robust as we'd like to see, but improving.
Liam D. Burke: Okay. Thank you. And on the Vention acquisition, you mentioned there was discussion of the customer overlap or non-overlap. Is there any leveragability on the R&D front or on the production front?
Michael F. Hilton: I'd say on the production front, down the road there could be. On the R&D side, I think it's complementary capability, but at this point we haven't factor that in. Jeff, I don't know if you want to comment anymore on that.
Jeffrey Alan Pembroke: Yeah. I would just say on the manufacturing front, one of the things that this acquisition brings us is a new position into complex extrusion, balloon blowing and manufacturing and nitinol forming some other things. So, it's really complementary to what we do today, with some very specialized facilities that they have. So, probably not so much on the manufacturing side. On the design and front end, there are certain aspects of how we design products across the different medical product platforms that we can take advantage of envelope technology from one area and use it in other, so we do think there's some opportunity there.
Liam D. Burke: Great. Thank you.
Operator: And our next question comes from Charley Brady with SunTrust. Your line is open.
Charles Brady: Hi. Thanks. Good morning, guys.
Michael F. Hilton: Good morning, Charley.
Charles Brady: On this acquisition of Vention, you guys have talked about getting life sciences platform to $300 million, $400 million size, this certainly jumps at really closely to the bottom-end of that market. I'm just wondering it is guys obviously another piece of the business you really weren't into minimally invasive technologies. As you add this pieces of business, are there additional tack-on pieces to the one you just did that further broadens up the capabilities or as we look to life science M&A, this kind of it for a while you're going to focus on other areas in terms of M&A?
Michael F. Hilton: Yeah. So let me make a couple of comments, Charley. So, first of all, we feel like we're getting a lot of capability with this particular acquisition and particularly, as you mentioned in the minimally invasive space, which is probably the highest growth space within the medical device marketplace ,so we like that. That said, across all of our businesses in the medical space, there's still a degree of fragmentation there, there's still a fair bit of work that's done in-house from the OEMs, that trend continues to outsource that. So, we see good organic growth opportunities and we do see opportunities to add additional capability down the road. But obviously, this is a sizable scale play for us and puts us well on the way to getting this business to something that down the road could be a $0.5 billion business for us.
Charles Brady: Right. But I just want to go back, in your prepared remarks, on the orders for Adhesive Dispensing, I wasn't sure if I heard correctly. You talked about I think the tenure of orders through the quarter or through the 12 weeks, they had obviously ended up at 12 weeks down 1%, but I thought I heard you say that for the majority of the time they were actually up. Could you just clarify that?
Michael F. Hilton: Yeah. When you do the sort of point-to-point analysis, you can have a real strong week drop-off, and that's basically what we're seeing. And we think there's some timing around the year-on-year comparisons well, so we had solid orders and sort of in the last week, we had a period of time, where we had some very large orders last year that dropped out of that comparison. So, we feel pretty good about what we see, as I said across the businesses in terms of interest, particularly in the consumer non-durable related space, it was our packaging. As I said, this year the nonwovens area is going to be a little bit of a challenge, because we have such a strong year, last year with a lot of recapitalization, but we feel pretty good about the opportunities and prospects. That said, it's still an uncertain global kind of environment here. And so we feel pretty good about the opportunities that we see.
Gregory A. Thaxton: And, Charley, just to put a little more color on that, it also highlights, in that segment, we've got some larger dollar product lines, so as those orders come in in one given week, if that happens to be a week that drops-off for an incoming week, it could impact that total 12-week view. But again, the comment was to suggest, if you look on a week-by-week basis within that 12 weeks, order rates were pretty robust.
Charles Brady: Yeah. Okay. That's the point I was actually trying to just clarify. So, that is very helpful. And just one more for me, did you guys give a gross margin forecast for the second quarter?
Gregory A. Thaxton: Yeah. We did. An operating margin?
Michael F. Hilton: Gross margin.
Gregory A. Thaxton: Gross margin, we suggest it would be 56% in the quarter.
Charles Brady: Great. Thank you.
Operator: And our next question comes from Matt Summerville of Alembic Global Advisors. Your line is open.
Matt J. Summerville: Thanks. Good morning. I want to talk about...
Michael F. Hilton: Hi, Matt.
Matt J. Summerville: ...Vention again for a moment. Can you talk about, you mentioned the $4 billion sort of TAM for your core Nordson MEDICAL, if you will, and then the recent acquisitions sort of combined, including Vention, how big is Vention's addressable market as a subset of that? And can you speak directly to the competitive environment, who the players are, what the relative market share position looks like?
Michael F. Hilton: Yeah. So, I'll let Jeff probably add some color to that. But getting into the minimally invasive space dramatically increases the available market to us. So, probably two-thirds of that $4 billion really falls into that minimally invasive space. At a high level, there are a couple of key competitors. There is a company called Integer that's a competitor in this space. And then TE's Creganna business is a competitor in this space. We feel good about our full capability from a solutions provider standpoint. There is a bunch of smaller folks out there, so opportunities for the future. And then, there's a still a fair bit of work that's done in-house by large OEMs, but the trend continues to be to outsource that and focus more on the end device. Jeff, I don't know whether you want to add any additional color there?
Jeffrey Alan Pembroke: Yeah. So, Mike, I think you had it right from that addressable market that we quantified about two-thirds of that would be in the Vention area, really related to minimally invasive interventional delivery devices and those sorts of things. The total outsource market for medical device OEMs is in excess of $40 billion. So, we're only talking about a portion of that, which is really the highly engineered differentiated piece. And, as Mike mentioned earlier in the call, there is additional opportunity that the OEMs continue to do in-house that more and more increasingly is being outsourced. And from a competitor standpoint, Mike mentioned, a couple, that we would see a directly against Vention AT. The market remains fairly fragmented as well with several other competitors out there as well.
Matt J. Summerville: And then just a couple of follow-ups on just sticking with Vention. It looks like about a month ago, Vention completed an acquisition of a nitinol wire manufacturer. Can you speak to the significance of that acquisition, what that technology adds to Vention? And, then, whether these products or even, Mike, maybe in core Nordson MEDICAL to the extent anything that's being done here falls under some sort of Federal regulatory umbrella? Thank you.
Jeffrey Alan Pembroke: Yeah. Mike, you want me to take that?
Michael F. Hilton: Yeah. Go ahead.
Jeffrey Alan Pembroke: Yeah. So, what you'll find in these types of businesses that are technology based, a lot of the differentiation comes from your ability to manufacture, convert, and design around very specialty materials. And so, the addition of nitinol to Vention's capabilities, nickel, titanium, which is basically a very biocompatible material with shape memory, so it can be used transcatheter. You can shape it, get it through a catheter, arrive at a point and it goes back to its original shape to perform the function that it was meant to perform. So it's a material that is becoming more widely used in medical devices. And so the acquisition that Vention made was a company that has unique ability in forming nitinol into very complex shapes. So we do see that as a significant capability that we could take and expand to other applications and other customers. As it relates to the regulatory and FDA, so Vention would be subject to similar levels of regulatory risk and FDA burden that we experience in some of our current Nordson MEDICAL business today. Vention's liability is limited to the extent, they do not own 510(k) or device registrations. But they're subject to standard medical device quality standards and manufacturing practices, which are audited from time to time by the FDA. However this is common, and something that again we experience today within parts of our Nordson MEDICAL business.
Matt J. Summerville: Appreciate the color. Thank you.
Operator: And our next question comes from Chris Dankert with Longbow Research. Your line is open.
Josh L. Zaret: Hi guys, this is actually Josh, in for Chris. Thanks for taking my call and congrats on the quarter and the recent flurry of M&A. I guess the first one we have is – so Vention looks like a huge win at a really accretive price. So I guess are there any other medical deals out there that have a similar scale to Vention and such accretive margins or is this sort of a unicorn?
Michael F. Hilton: Well, I would say, in terms of the margin side, our focus is really on differentiated capability and so everything that we're looking to acquire in this space, whether it's the minimally invasive space that we're talking about here or the other products that we've already acquired, it's around being able to differentiate capabilities, so that you can provide the right solution for customers, create value and get paid for it. So there are other opportunities out there that we continue to look at across all of the product lines within our medical business. I think this is a nice move from a scale perspective. There may be some others out there – there's certainly things that we're interested in, but really not in a point to talk about anything right now. So I'd say there's more opportunity, this is a good move from us from a scale point, but more importantly from the capability that it gives us the market segment that it opens up to us in a big way and the ability to kind of reinforce the broader capability we have with a consistent group of customers.
Josh L. Zaret: Okay, perfect. And I guess the follow up over into ADS, it seems like things has slowed a bit in EMEA. Any color you could provide there or is this just a one-off or you've seen anything slowing ex-packaging there?
Michael F. Hilton: As I said, I think, in this particular quarter as you look at the order rates, it's more probably larger project related kind of thing than anything else. What I would say is across the board, the sort of consumer non-durable space looks solid right now and that's why packaging looks solid. There's some good opportunities in the product assembly area that looks solid. Nonwovens is operating at a high level, but it's got a really tough comp last year, we did get a number of significant recapitalization. So, it's got a tough comp there. I'd say our dies businesses are improving. We're starting to see our core components pick up as well as the melt delivery in terms of opportunities out there, palletizing is lumpy, but we think it will be a good year but it's going to lumpy. So I'd say the big project mix is the one thing that's hard to predict and that's the one area that can move things around, that's both in say product assembly and some of the lesser extent nonwovens I mean and some things like palletizing. So, we think the opportunities are good, we've got tough comparables in that business.
Josh L. Zaret: All right. Perfect. Thanks.
Operator: And our next question comes from Allison Poliniak with Wells Fargo. Your line is open.
Allison A. Poliniak-Cusic: Yeah, Hi guys. Good morning.
Michael F. Hilton: Good morning, Allison.
Gregory A. Thaxton: Good morning.
Allison A. Poliniak-Cusic: With the incremental additions including Vention, how should we think about the seasonality with that ATS business, I imagine it's a bit more smooth than it's been historically going forward?
Michael F. Hilton: I'd say on the seasonality, yeah, probably a little bit. But if you think about it, we're still going to see the kind of holiday effects that we see in most of our businesses in the first quarter. So, I'd say seasonality wise, there's probably a little improvement. Obviously from a cyclicality standpoint it's part of a specific strategy that we have to try and balance out that segment where we have more cyclicality in the electronics related parts of the business.
Allison A. Poliniak-Cusic: Great. And then on ETFs, I guess just in this optimism of the Trump administration right now, I know you've talked about backlog and orders, but in terms of inquiries have you seen sort of a mix towards these larger projects starting to come through, particularly if you look to the U.S. there are no change there yet. Just any thoughts on that?
Michael F. Hilton: Yeah. I would say we've not seen any dramatic change associated with the proposed policies that the President has talked about, but for some bigger projects it would take a little longer for those to materialize anyway. I mean, I think when you look at something for example like the auto industry we kind of supported wherever it is. So, they move from place to place, but we generally view that as an opportunity and one of the stronger sort of end markets. But we haven't really seen anything that we could identify as an uptick associated with the proposed policies.
Allison A. Poliniak-Cusic: Great. Thank you.
Operator: And our next question comes from Walter Liptak with Seaport Global. Your line is open.
Walter Scott Liptak: Hi. Thanks. Good morning, guys.
Gregory A. Thaxton: Good morning, Walt.
Michael F. Hilton: Good morning.
Walter Scott Liptak: I want to ask you about the Vention Medical acquisition, and I wonder if you can help us understand a little bit more about how the business was organized and the part of the business that you didn't acquire, and I guess it was for sale, so why didn't you acquire? Are there any relationships that are going to be continuing from that either way as a supply relationship et cetera?
Michael F. Hilton: Yeah. So, I'll just make a couple of high level comments. I mean the overall Vention business was put together through a series of acquisitions, some more focused on, I'd say the service side of the business and some more focused on through the technology side of the business. And the owners in the process decided to split this up into sort of two pieces and as we said, before, we like the position, where you have the opportunity to be a solutions provider to the customer, where you've got differentiated capability and we certainly saw that in the Vention AT business, and that's why we were most interested in that particular business. There will be modest ongoing relationship between the two businesses and contracts to cover that, but it's not significant in terms of the total. So, they operated as fairly independent businesses.
Walter Scott Liptak: Okay. Great. And, so the manufacturing locate, they're not going to be contract manufacturing for Vention AT?
Michael F. Hilton: No, there's some products that go back and forth, it's a very de minimis amount and we'll have agreements in place to address those, but it's not significant. There are – as Jeff had mentioned, there's certain capabilities with each of these sites that are important, and quite frankly the locations are important from medical device, particularly front-end design standpoint. So, we really like the locations that we have and the presence we have in sort of the hot bed (44:55) markets of the medical design space.
Walter Scott Liptak: Okay. Great. And then switching gears back to adhesives. I wonder if you can talk a little bit more about the polymers business, you mentioned that it was little bit soft for injection molding, were those comments specifically to automotive or is it, because that's kind of across the board, sort of a product or what are you thinking about for the full year in capital spending in that plastics area?
Michael F. Hilton: Yeah. So I would say, we're encouraged by the activity that we see in terms of the opportunities. I'd say, we're finally starting to see some of the extrusion in the film part of the business pickup and that shows up most in our dies business, which is looking better. I'd say the injection molding part of the business has been on a strong run, up to about six months to nine months ago, where it's slowed down a little bit and I'd say that part is continuing. So I'd say we expect to see it to be a positive year from a growth perspective, but a lot of these are bigger projects, we're working on them now, they need to come through to have an impact in the year. But I'd say we're encouraged by what we're seeing from an opportunity standpoint, but it's not everything working in concert much like the core Adhesives business, where we've got a couple parts of the business looking pretty attractive and other parts up against tougher comps, and not quite as attractive right now. But again, anything that's really more consumer nondurable related is looking pretty strong and the durable piece is I'd say at a good level, but not strong as we might have seen in parts of last year.
Walter Scott Liptak: Okay. Great. All right. Thank you.
Operator: And I'm not showing any further questions. At this time, I'd now like to turn the call back to Senior Director, Jim Jaye for any further remarks.
James R. Jaye: Thank you, Leanne and on behalf of our team, I appreciate you joining our call today. I'm available throughout the week to take any additional questions you might have. Thank you again, and have a good day and we'll signoff. Thank you.
Michael F. Hilton: Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may all disconnect. Everyone have a great day.